Operator: Good afternoon, and welcome to Poste Italiane's First Quarter 2025 Results Conference Call. In a few moments, the CEO, Matteo Del Fante will take you through some opening remarks, and then, the CFO, Camillo Greco will cover the financials. As usual, after the presentation, we will have a Q&A session, where you can ask questions either via phone or through our webcast platform. For any topics we won't be able to cover today, please contact the Investor Relations team. We'll provide any clarifications you may require. So, with that, over to you, Matteo.
Matteo Del Fante: Good afternoon, everyone, and thank you for joining us today for our Q1 2025 results call. We're pleased to report a very strong start of the year, with record first quarter revenues and double-digit year-on-year EBIT growth. These results are yet another demonstration of the solidity of our business model, disciplined execution, and our continued ability to adapt and grow in a dynamic environment. All business units contributed to a solid 5% year-on-year revenue growth totaling €3.2 billion. This performance was driven by strong net interest income, continued momentum in parcel, strong net inflows in investment products and postpaid services ecosystem growth. On the profitability front, adjusted EBIT came in at €796 million, up 13% year-on-year, with a net profit of €597 million, a remarkable 19% increase compared to the same period last year. Ongoing expense management remains a key focus as we continue to successfully mitigate inflationary impacts while cost increase came from expanding businesses. Our balance sheet remains extremely solid, supporting our recently-upgraded dividend policy. Solvency II ratio remains well above 300%, including the dividend accrued on Q1 '25 results, and the impact of the first €500 million of additional remittance from post-EBITDA to the parent company. As announced, we will pay the balance of our 2024 dividend of around €970 million at the end of June, bringing the total dividend for the year to €1.4 billion, equivalent to €1.08 per share. As you know at the end of March, we signed an agreement to acquire from Vivendi 15% of TIM ordinary shares, a transaction that is expected to close in Q2 2025, bringing our total stake in TIM to 24.8% of the working capital. With this long-term strategic investment, we plan to support the consolidation of the Italian telco market. We're advancing on several work streams to generate synergies over time between Poste Italiane and TIM. We have signed an MOU with TIM for the new MVNO contract, expected to start from the beginning of 2026. Let's move to Group financial results on slide four, please. We posted record first quarter revenues at €3.2 billion, up 5% year-on-year. Adjusted EBIT for the quarter is at €796 million, and net profit at €597 million, up 13% and 19% respectively. These figures I want to underline are the highest we ever reported in the first quarter. On slide five, the strong underlying revenue momentum across all our business segments continues into the new year. In Mail, Parcel & Distribution, revenue growth was driven by increasing parcel volume. The anticipated decline in mail volume is effectively mitigated through ongoing re-pricing actions. In Financial Services, revenues increased by 6% year-on-year to €1.4 billion, supported by record level NII and solid commercial performance. Insurance services delivered strong profitability in both Life and Protection segments. Revenue rose 11% in the quarter, reflecting higher CSM, and risk adjustment release. Postepay unique and integrated ecosystem for everyday services delivered growth in both revenues and profitability. Payment revenues benefited from an overall increase in cab usage by our clients. The telco customer base remained solid and stable, while the number of energy client has almost doubled year-on-year, reaching around 800,000 clients. Let's move to slide six, and EBIT evolution by segment. Mail, Parcel & Distribution reported an adjusted EBIT of €25 million for the quarter, in line with our full-year guidance. Financial Services operating profitability is up 31% to €260 million, driven by record NII and overall strong revenue trends. Insurance services EBIT is up 9% supported by both Life investment and Protection. Finally, Postepay double-digit EBIT growth to €133 million is driven by resilient top line performance and stable costs. Let's move to a more detailed review of our numbers by our CFO, Camillo Greco. Please.
Camillo Greco: Thank you, Matteo, and good afternoon, everyone. Let's move to slide eight on Mail, Parcel & Distribution. Revenues totaled €949 million, up 2% year-on-year. Mail revenues at €520 million are slightly down by 3% in line with the trend that we anticipated for our fiscal year 2025 guidance in February. In addition, year-on-year comparison Mail revenues is unfavorable this quarter as Q1 '24 benefited from positive one-off items. Let me also remind you that Mail revenues will benefit from the new [Auzu] (ph) pricing from April 2025, with an estimated positive impact on revenues of around €3 million a month. Parcel revenues were up 7% to €393 million, with growth recorded across customer segments. Distribution revenue from other business units are up 4% in the quarter, reflecting positive commercial trends across the group. Adjusted EBIT of €25 million in Q1 2025 is well in line with the guidance provided for the full-year. Let's look at volumes and tariffs on slide nine. Parcel volumes were up 9%, supported by strong market position across all customer segments with 40% of items now delivered via the postal network. We have also recorded a 70% increase in deliveries to the Punto Postal network, leading to delivery efficiencies both in terms of cost and lower CO2 emissions. Preliminary trends emerging from operating numbers show an acceleration of parcel volumes growth versus Q1. Looking at pricing, the average tariff remains broadly stable as the volume growth is spread across all customer segments. Moving to mail, the volume trend is in line with expectations, and preliminary data show an acceleration of registered mail volumes compared to Q1 2025. Finally, the higher mail average tariff to over €1 reflects ongoing re-pricing actions across both regulated and market products. As already mentioned, the new pricing on regulated products effective from April is expected to generate an additional €3 million revenues per month. Moving to Financial Services on slide number 10, gross revenue for the quarter came at €1.7 million, up 7%. Net interest income came at a record €666 million in Q1, up a strong 13% benefiting from management yield enhancement actions combined with supportive rates environment. Postal saving distribution fees amounted to €441 million, up 3% year-on-year, supported by improving gross inflows. Consumer loan distribution fees reached €71 million, up 14% versus Q1 '24, driven by higher margins. Asset management revenues resilient at €44 million in Q1, with higher assets under management compensating lower upfront fees. Finally, EBIT came in at €260 million, reflecting the positive revenue trend. Moving to slide 11, TFAs reached €596 billion, up €5 billion in the three months from the end of 2024. Let's look at each component. We reported strong $1.6 billion net inflows in investment products, reconfirming the positive trend in life insurance, where net inflows reached €0.9 billion, continue to outperform the market. Deposits were up, benefiting from higher balances from PA clients, resilient retail deposits stable at €58 billion, confirming the stickiness and loyalty of our customer base. Postal savings net outflows were driven by high maturities mitigated by a new commercial initiative. Moving to slide 12, Insurance Services revenues amounted to €442 million in the quarter, up 11% year-on-year. We continue to have positive net flows in Q1 '25, supported by newly-launched products, and strong commercial effort continue to outperform the market. Our lapse rate of 8.6% reflects proactive client portfolio rebalancing activities, as also demonstrated by the positive net flows. Let me highlight that in Q1 '25, around 40% of our lapses have been reinvested into new life insurance products. Life Investment and Pension revenues were up 10% to €450 million in Q1 driven by higher CSM and risk adjustment release. Protection revenues were up a strong 22% in the quarter, supported by higher gross written premiums, up 19% to €371 million in Q1 and strong profitability. Let me remind you that Q1 '25 production numbers are exactly on a like-for-like basis with no change in perimeter. The combined ratio was 83% in Q1, while we confirm our fiscal year '25 guidance to about 85%. Adjusted EBIT of €378 million is up 9% compared to Q1 '24, supported by both Life Investment and Protection. On slide 13, we show the CSM evolution in the quarter. Normalized CSM growth is strongly positive at 3.6% annualized, up from 2.5% in 2024 with a strong increase in new business value and expected return more than compensating the quarterly release. Group CSM at the end of the quarter is at €13.6 million, providing strong visibility on the division's sustainable profitability going forward. Let's look at the solvency ratio evolution on slide 14. Poste Vita Group's Solvency II was 3.5% at the March 2025, well above the managerial ambition of circa 200% through the cycle. This ratio already embedded 100% remittance of net profits for the period to the parent company, as well as the impact from the first €500 million additional remittance, which will be paid next June. The decline was mainly related to the negative impact from economic variances, driven by the increasing rates and BTP spread in the first quarter, while the internal capital generation of the business fully covers for the foreseeable dividend accrued in Q1 '25. The decline in both rates and spreads observed in April resulted in improvement of our solvency ratio that currently stands between 305% and 320%. Moving to Postepay Service on slide 15, revenues rose by 5% year-on-year to €398 million in Q1 as our unique everyday ecosystem continues to drive top line and profitability growth. Payment revenues are resilient at €284 million in the quarter supported by higher transaction value and growth in total number of ecosystem transactions at 9%, proof of the increase in card usage by our clients. This performance offset the decline in instant payment revenues following recent EU regulatory changes. Total transactional value is up 6% year-on-year, impacted by a tough compulsion in Q1 '24, and benefited from seasonality. Preliminary transactional value data for April already showed encouraging signs of acceleration versus Q1 '25 with 15% transaction value growth. Telco revenues grew 2% in Q1 versus last year, supported by our stable client base and the rollout of our fiber offer. Finally, energy revenues are at €32 million, reflecting positive market trends, and a solid customer base evolution currently standing at around 800,000 clients, twice the Q1 '24 base. Adjusted EBIT grew a strong 13% to €133 million in Q1, underpinned by solid top line performance and stable costs. On slide 16, we look at the workforce evolution. Since the end of 2024, the average headcount rose to 120,000, in line with higher FTEs, supporting our 2025 target, and consistent with business growth. This figure includes approximately 1,200 additional temporary workers engaged during the Q4 '24 peak period when we managed significantly higher volumes, compared to the previous year. More importantly, the profitability per FTE continued to improve with the value-added per FTE growing by 4%, €87,000. HR costs per FTE are up 1% to €47,800 as a result of variable compensation. Moving to Group HR cost on slide 17, in Q1, ordinary HR costs increased by 3% to slightly over €1.4 billion due to higher FTEs and variable compensation as already mentioned. In the quarter, ordinary HR cost on revenue was roughly down to 41%. Moving to slide 18; non-HR cost increased by €62 million year-on-year, mainly driven by €36 million of additional variable cost, reflecting higher business volumes, while fixed costs decreased by €3 million, D&A are up 29 million, in line with the increasing investments driving our continuous transformation. In general, our focus on cost and CapEx discipline across all divisions remains laser-sharp, and protecting the bottom line profitability, as well as the cash flow remains our top priority. Thank you for your time. Let me hand over to Matteo for a wrap up.
Matteo Del Fante: Thank you, Camillo. In our Strategy Update in February, we outlined 2025 targets, and confirm our strong commitment to generate sustainable profitability growth and deliver compelling shareholders' remuneration. We are off to a solid start this year across the board with our record performance in the first quarter, and look forward to delivering strong results in 2025 and beyond. We continue to build upon strong momentum with a clear commitment to generate long-term value for our stakeholders. Our Group maintains a robust balance sheet, supporting our upgraded dividend policy based on the 70% payout ratio implying a 2024 dividend balance of €0.75 per share, equivalent to around €970 million to be paid at the June. Our recent acquisition of a significant stake in TIM underscores our commitment to a long-term industrial shareholder, focused on driving value creation and supporting the consolidation of the Italian telecommunication market. Over time, we expect to generate strong synergies with this transaction, and we have already signed a MoU for a new MVNO contract, which will be active from January next year. In summary, we'll focus on disciplined execution. This record quarter is the first step in delivering the targets we have laid out, and that's all supported by sustainable and highly diversified business model, which allow us to deliver predictable earnings growth. Finally, I want to thank again our dedicated employees, whose hard work, commitment, and professionalism are key to the strong results that we continue to achieve. Thank you also to you for listening. And Giuseppe, over to you for the Q&A.
A - Giuseppe Esposito: Thank you, Matteo. We are ready to start our Q&A session. [Operator Instructions] The first question we have today is from Farooq Hanif at J.P. Morgan. Please go ahead, Farooq.
Farooq Hanif: Hi, thanks very much. My first question is around what you can tell us now about potential areas of synergy with TIM. What are your plans for where you think you can create value to that shareholding? And my second question is, if you could elaborate on the EU payment regulation change, what that means, are there any ongoing effects, if you can talk about that? Thank you.
Matteo Del Fante: Okay. I will take the first one, and get Camillo ready; Farooq, thank you, for the second question. The first synergy is the one we are very close to formalize. We have an MoU already signed with TIM with respect to the roaming service that our 5 million clients of [Poste model] (ph) will benefit from next year from TIM. Then I think, you know, this is an acquisition that technically is not even finalized, because we are for the second tranche, waiting for the final signoff from the antitrust Italian authorities. So, it's in the making. But additional synergies that we see, and this is going to be a very important, I think, very positive journey, but one should not expect to see basically results of this synergy program on both side of the fence, so, also on the team side every month or even every quarter. By the end of the year, there will be synergies, and the second item that we can put on the table today is on the distribution of some of the positive services through the network of team with a white label concept and format. So, this will be team label products powered by Poste Italiane, and that would be for us an additional channel of distribution, and for TIM an additional source of distribution revenues and product they can offer to their clients. And there will be probably traffic in the opposite direction in terms of our network distributing some of the team products over time. So, I think we're working very well with the company at the moment, and we are exploring every possible opportunity. And the more we work, the more we see in terms of opportunities, but it will take a bit of execution time to look.
Camillo Greco: Yes. And with respect to the second question, there was a change in EU law on fees applied to separate transfers, whereby instant payments have to be made equal in terms of cost to normal credit transfers. That is something that we had in our budget, so no surprise here. In terms of impact on the quarter, the net impact was around €7 million, as we had probably a slightly higher number in terms of fee reduction, but we had greater volumes with the net impact being €7 million, but it's something that we did expect and is part of our budget.
Farooq Hanif: Thank you very much.
Giuseppe Esposito: Thank you. Next question is from Gianluca Ferrari, Mediobanca. Hi, Gianluca.
Gianluca Ferrari: Yes. Hi. Good afternoon, everyone. Back a bit from Farooq's question on TIM, out of the 3.5 billion COGS, how much is potentially addressable or workable together with TIM in terms of ICT expenses you are having today, and could be better managed, thanks to the skills of team. And linked also to the TIM argument, I was wondering if you can share with us the cost of the MVNO contract you signed with them. Second and final question is on the 7% increase in parcels. If I recall properly, you gave us a guidance for 2025 of 1.8 billion, which means a plus 10% to plus 16% depending if we take the upper-end or the lower-end of the 1.8. So, I was wondering if the plus 7.8 guidance for full-year, or we should expect something lower given the level of Q1? Thank you.
Matteo Del Fante: Okay. Thank you, Gianluca. I will take the first one, and let -- Camillo will be ready for the second one. MVNO contract, we're not in the position yet to disclose the amount. So, that's an easy answer. On synergies, the cost side, you referred to our ICT. I think it's a broader topic that will take time, because the more we disclose each other our cost on one side and revenue projection on some of these items, if we stay within the technology, or for example in the cloud space, the more I think, we will have opportunities to increase shareholders' value for both companies. But that's not the one single item we are looking the moment. So, I'm not in the position again to give you a specific figure on ICT expenses reduction on the basis of synergies.
Gianluca Ferrari: Thank you.
Camillo Greco: Yes. With respect to the second question, first of all, we absolutely reconfirm the number. I'll remind you the number as a €100 million interval as you rightly pointed out. And I also made a comment on my script that April was a very, very strong month in terms of reporting double-digit growth in April. So, comfortable with that. Given a bit more granularity on what has happened in the last -- in the first three months of the year, we have performed well in terms of market share both in terms of B2C, which remained stable at high levels, and we grew market share in B2B. Probably what has happened in the first three months of the year is that the market overall was likely softer vis-à-vis what we expected. The other point I'd like to make is that obviously top line growth drives profitability and drives EBIT. What we did in the last three months is that we have materially increased the percentage of parcels that are being delivered to our [pudos] (ph), which is a much more cost efficient way of delivering the parcels. So, that has helped us also to protect profitability of the business if not to increase it as we have been much more efficient the way these parcels are actually being delivered. So, just to say that not only we absolutely confirm top line, but we also very strongly confirm EBIT guidance.
Matteo Del Fante: Yes. And if I may add, Gianluca, there is certainly a top line element, which correctly you're focusing on, but we have started focusing already a few quarters ago on profitability in the space that will clearly come from more volumes, and synergies, and cost efficiencies, but have a lot to do with, as Camillo said, using more third-party networks and that help us reducing our cost of delivery for the last mile. It has to do with the reengineering of our real estate logistic footprint, which will is evolving rapidly versus a parcel-driven footprint from a mail-originally-driven network. And last item to drive margin growth in the space is going up the value chain. So, now that we have reached a leadership in B2C, going into the B2B, going into warehousing, going into contract logistics, which is what we started as an exercise a couple of years ago. So, I think hopefully over time this is a long journey, and we have all learned together that logistic is not a space where you move the needle and the market share rapidly quarter-after-quarter. You need to keep pushing and driving to the increase of margin and revenues over a relatively medium term time horizon. But there is the commitment, it's the balance sheet, there is the focus, and we're positive that we're on the right track.
Gianluca Ferrari: Very clear. Thank you very much.
Giuseppe Esposito: Thank you, Gianluca. Next question is from Giovanni Razzoli at Deutsche Bank. Please go ahead.
Giovanni Razzoli: Good afternoon to everybody. The question is on the revenues in the mail. You mentioned that there has been in this quarter a favorable mix effect. So, compared with the past, there is not only an increase in tariff, but also you mentioned a mix effect. And then, you also mentioned that there was an increase in the recorded mail pricing. Is this favorable mix effect referring to that, or is this something different? And do you think that increasing the value added services on the traditional mail may help to compensate in part the decline in the volumes? Thank you.
Matteo Del Fante: I think already Camillo mentioned the fact that after one year of surprise, because you remember last year, we budgeted a decrease in main revenues and we recorded an increase. We finally got a normal quarter, which is revenue decline in mail. We're back to the non normal in Q2 to date, including the first week of May, where we see revenue going back to positive ground, which is maybe sort of overshooting or rebalancing effect of what we've seen in Q1 possibly to some extent. Certainly, the trend, the long-term trend is against us, Giovanni, there is no doubt. And value added to your question services, yes, will help us to some extent, but will not stop the long-term trend that mail will experience over time. So, we should not be too optimist in the medium-term of not seeing the decline in revenues because when we say value-added products, we're talking about registered mail, which is already today relatively well-priced in Italy, little room to increase pricing on registered mail, more room as Camillo anticipated on universal service products that is also kicking in Q2 and supporting the positive signs that we're seeing in mail in Q2.
Giovanni Razzoli: Thank you.
Matteo Del Fante: Camillo, you want to add something?
Camillo Greco: Sorry. I was with the mic out. The deals of repricing will give us around €25 million of incremental revenues from the 1st of April that we are continuing our systematic repricing actions on the rest of the market and the total impact of those actions to translate around €50 million revenues incremental in 2025.
Matteo Del Fante: Revenues incremental in terms of pricing -- [multiple speakers] obviously from the pricing effect and obviously we will have the volume effect against us. Yes, just to be clear.
Camillo Greco: Yes.
Giuseppe Esposito: Next question is from Iain Pearce with BNP Paribas. Please go ahead, Iain.
Iain Pearce: Hi, afternoon everybody. Thanks for taking my questions. The first one was just on the payments revenues. If I've understood this correctly, I think you said that April revenues have accelerated quite strongly, but the impact from the EU law change was €7 million, which wouldn't imply that, that falling out would be a big change. So, just trying to if you can give us a bit more detail on what's happened with the payment revenues post Q1 and the sort of the impact from the EU law change going forward, that would be very useful. And the second question is just on the NII. Clearly, a very strong number again on that line, if you could just talk to us about the sustainability of that number, if that number benefited at all from any one offs that be useful. Thank you.
Matteo Del Fante: Thank you, Iain. I think I'll let Camillo answer on both questions. I think the second one is one we anticipated, and obviously it's a key question, I believe, in the quarter where we just reported. Please, Camillo.
Camillo Greco: Yes. So, with respect to the -- again, going back to payments, mean the first thing I'd like to again put out very clearly is that the first quarter of this year compared to the first quarter of last year had some material differences. First of all, because Easter in 2024 was in March and this year was in April, and the second point is that Q1 '24 had a leap year -- was a leap year, Easter was the 29th of February. So, there was an impact on the calendar, and there was an impact as far as festivities are concerned. So, that's in terms of the calendar. The second point was around the EU change in law, which was already, as I said, fully budgeted and had an impact of around €7 million in the first quarter. It will continue to have an impact on the rest of the year. However, as per the point I made before, which is that there has been a change of seasonality, the first month of the April has gone strongly. And the way we measure that is in terms of transaction value. So, transaction value managed by PostePay in the first three months of the year was growing 6% compared to Q1 '24. If you were to add to that three months an additional months, i.e. April, the increase from 6% would go to 8.4%, which implies a double-digit growth in the single month of April. So, that's on payments. With respect to NII, you will remember that on the February 21, we presented the numbers and we gave an indication what we call investment portfolio return on our BTP portfolio of 2,600,000,000 That was a combination of NII plus capital gains. We did have a strong first quarter in terms of NII. However, as you know, 30% of our portfolio is at variable rates. So, we would expect a non proportional level of NII throughout the year and we would like to reconfirm the level that we gave at the beginning in February, which was €2,600,000,000 of total portfolio return for 2025.
Iain Pearce: Okay. Very clear. Thank you.
Giuseppe Esposito: Okay. Next question comes from Tommaso Nieddu of Kepler. Tommaso, please go ahead.
Tommaso Nieddu: Hello. And thank you for taking my questions. I have a couple. The first one is on guidance and payout policy. I understand that in 2025, the inclusion of Teams pro quarter profits shouldn't have a significant impact. But I was wondering, should we consider the 70% payout on the profits with or without TIM's contribution and same for net income? And the second question is still on the stake acquisition of and is on the saving shares of TIM. Can you please give us a comment on that? Are you happy with the current structure?
Matteo Del Fante: Sorry, Tommaso. We got the first question. Can you repeat the second one, please? Sorry.
Tommaso Nieddu: Yes. The second question is on the saving shares of TIM. So, if you can give us some comments on that, and if you are happy with the current structure of TIM?
Matteo Del Fante: No. I mean to be entirely honest, Tommaso, thank you first of all for your questions. But we legally, we're not even shareholders at the moment. So, I think it's very premature to anticipate comments for sure on the capital structure of TIM. And at this point in time, let's wait for our next results announcement also on your first question on the payout, which is not I wouldn't be worried, but at this point, we prefer not to comment. I'm sorry about that, and thank you again for your questions.
Tommaso Nieddu: Got it.
Giuseppe Esposito: And the next on the list is Andrea Lisi from Equita. Please go ahead, Andrea.
Andrea Lisi: Thank you for taking my question. The first one is on the CSM release. If you think that the release ratio we have seen in this quarter is a sustainable level and can be applied also going on and in case what are your expectation there? And the second question is on the outflows in terms of cost savings, which actions are you putting in place and which trends are you expecting for the coming quarter? Thank you.
Matteo Del Fante: Okay. We will do the reverse. Thank you, Andrea. Rutigliano will answer the second question, and then let Camillo answer the first one. On postal savings, year-end is negative net collection, net savings. We are anticipating together with CDP initiatives on products mainly. And we are confident that just like last year, we will manage to achieve our plan net funding targets, even though clearly Q1 has been a relatively heavy one, but we are not yet considering a problem. Okay? Please, Camillo --
Camillo Greco: Yes. With respect to CSM, I mean, I'll answer it sort of indirectly saying that we have not provided guidance on CSM, but we have provided guidance on revenues and on EBIT for the division post EBITDA. We believe that those numbers that we have put forward really to one point months ago are still there and obviously an important part of the revenues of Poste Vita by the tune of €1.5 billion are made up by CSM releases. So, that's the thing what we can say at this point and we reconfirm those numbers. We also I can also go a step forward saying that we believe that based on what we know now that the around 3.5% growth of the CSM should be sustainable for the rest of the year. And just to complete, I think the question was on the percentage release. The percentage release as you know depends on the duration of the portfolio and this will depend also on the evolution of market interest rate. So, we cannot say if this is exactly the level you will see in the future. But on average, if you look at the number of this quarter and the last few quarters of 2024, this is the level you should expect for the rest of the year.
Matteo Del Fante: And Andrea just to supplement on my first answer, looking at our internal projections for year end we are slightly ahead of plan. So, that makes us comfortable to be able to reach the plan by year-end.
Andrea Lisi: Clear. Thank you.
Giuseppe Esposito: Okay. The next question is from Manuela Meroni, Banca Imi. Hi, Manuela.
Manuela Meroni: Yes. Good afternoon. Couple of questions remaining, the first one is on the net inflow on deposits. They have been quite strong in this quarter. For sure, they are benefiting from the public administration, but also the corporate customers increased in terms of deposits. So, I'm wondering if there is a specific trend that you wanted to highlight there. And the second question is on the consumer loan distribution. It has been a quite strong quarter. I'm wondering if you have changed something in your approach there, if these results is recurrent or it's just let's say a matter of pricing?
Matteo Del Fante: Camillo, you want to take both questions?
Camillo Greco: Yes. So, I'll start from the second. The performance of the book of consumer loans is driven by volume but also driven by interest rates at which we discount the underlying product and we book our fees. Those rates have been going down so that has helped us to support the performance. I think that we had for the year a budget of 0.2 for the division. I think we -- sorry, yes, point two, we confirm that. With respect to the net flows on cash, obviously, they have been doing well. There is a bit more volatility as usual with public administration and corporates, but the performance is in line with our expectations.
Matteo Del Fante: And the first question was net inflows in deposits.
Camillo Greco: Yes, inflows.
Matteo Del Fante: Okay. Sorry. Okay.
Giuseppe Esposito: So, next question is from Daniel Wilson of Morgan Stanley. Go ahead, Daniel, please.
Daniel Wilson: Hi, good morning, guys. Thank you for taking my questions. Just a couple of questions on Postepay, first question around the stock of the prepaid cards, I understand that this stock doesn't grow kind of linearly, but you've seen quite a large drop this quarter in the stock. Admittedly, the transaction value has come up a bit to counter that, but I'm just wondering if you can comment on that. And then, second question is on Energy. Clearly, the business is growing quite well and you're growing customers quite well and everything, but it also seems that the operating revenue you're getting per customer is increasing. So, I'm wondering if you have any comments on the evolution of that over time. Thank you.
Camillo Greco: So, with respect to the first question, Daniel, it is true that we had a reduction in cards in the postpaid standard, but that has to do with cards which were sponsored by the government in terms of cash distributed for inclusion purposes to the Italian city. They're more related, yes. And thus these extraordinary measures of the government have been reduced the usage of those cars has been in a way reduced accordingly to the tune of around 1.2 million cars. That is the estimate of the government-related cars. So, nothing strange there; in fact, we continue to see strong performance on our key product, which is the Postepay Evolution car, which continues to grow it grew by 400,000 units this year, compared to the equivalent period in Q1 '24. With respect to energy, I think, yes, we have had encouraging performance, and the revenue per customer is also driven by the cost of the underlying product and we have been in a more benign environment in that sense. So, we are also positive for the rest of the year on the energy also in light of the supply agreements we have in place.
Daniel Wilson: Thank you.
Giuseppe Esposito: Okay. Next question is from Michael Huttner, Berenberg. Michael, please go ahead.
Michael Huttner: Thank you very much. I had two questions, both on insurance. So, both kind of seeing the very strong growth in volumes, both on the savings side and the protection, and I just wondered if you can speak a little bit about that. It feels that we're running a little bit of ahead of budget, but and I'd like to understand maybe what's driving this as well. Thank you.
Matteo Del Fante: Please, Camillo.
Camillo Greco: So, it was a good quarter for insurance. It was also a good quarter compared to last year where we had materially less inflows in the first quarter of 2024. We have intercepted some inflows on the business through BancoPosta. Then as you may recall, we have changed our portfolio to address more flows going to post EBITDA and that's exactly what we have done. We have also benefited for a greater release of CSM driving top line. That's something we addressed in the previous questions. What I didn't comment on and I'm going to comment more now is that we had also an equally good performance also on what we call P&C, where yes, we had an increase of around €60 million in terms of premium, the sort of star performers in that category where you see it carefully as CPI products, which grew by the tune of 24% compared to the first quarter of 2024. That has to do with the products we sell directly, but also to the products we sell to our majority on subsidiary net group. They had a very strong performance quarter on quarter.
Michael Huttner: And just to understand, are these lovely trends sustainable do you think?
Camillo Greco: They are certainly in line with our budget that aspires to have somewhere between 1.1 billion and 1.2 billion of premium for 2025, yes.
Matteo Del Fante: Yes. I think if I may add, thank you, Michael. There is a very focused ongoing effort in the company on what you can call smart cross selling. So, basically not only we're trying to embed protection PFC protection contracts into life, which is obviously a natural way of doing embedded cross selling within the insurance segment. There is also an ongoing effort to drive clients from one product to the next best product for that client using all the data we have on our clients and using obviously our increasing weight of digital channels where proposing the next best product maybe with a discount is the easy proposition to put in place. But more importantly for our footprint this is taking place more and more also in the post office. So, allowing our teller people and our consultants, colleagues to have a clear picture of the client profile, the product needed and the best offer that we can do to that client on the next best product to be offered. And this, I think, be one of the key efforts that we're putting in place that will impact all segments and that obviously will increase our operating leverage on of the company and benefiting our bottom line.
Michael Huttner: Very clear. Thank you very much.
Giuseppe Esposito: Okay. There are no further questions. Thank you all very much for joining us today.
Matteo Del Fante: Thank you, everybody.